Operator: Greetings and welcome to Alteryx First Quarter 2022 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ryan Goodman, Head of Investor Relations, Alteryx. Over to you, sir.
Ryan Goodman: Thank you, operator. Good afternoon and thank you for joining us today for Alteryx’s first quarter 2022 earnings conference call. I’m Ryan Goodman, Alteryx's Head of Investor Relations. With me on the call today are Mark Anderson, Chief Executive Officer; and Kevin Rubin, Chief Financial Officer. Additionally, Paula Hansen, our President and Chief Revenue Officer; and Suresh Vittal, our Chief Product Officer, will be joining us for the question-and-answer session after prepared remarks. This afternoon, we issued a press release announcing our results for the first quarter ended March 31, 2022. If you would like a copy of the release, you can access it online on our Investor Relations website. During this call, we will make forward-looking statements related to our business, including statements about our financial guidance for the second quarter and full year 2022. These statements are not guarantees of future performance. They are subject to a variety of risks and uncertainties, some of which are beyond our control. Our actual results could differ materially from expectations reflected in any forward-looking statements. For a discussion of the material risks and other important factors that could affect our actual results, please refer to our SEC filings available on the SEC’s website and our Investor Relations website as well as the risks and other important factors discussed in today’s earnings release. Additionally, non-GAAP financial measures will be discussed on today’s call. A reconciliation of these measures to their most directly comparable GAAP financial measures can be found in today’s earnings release. With that, I’d like to turn the call over to Chief Executive Officer, Mark Anderson. Mark?
Mark Anderson: Thank you, Ryan. It's great to have you on the team, and thank all of you for joining us on the call today. Q1 was an outstanding quarter across the board for Alteryx and a terrific start to 2022. Key financial metrics, all exceeded the high end of our guidance range driven by increased traction with large enterprise customers. This reflects both global digital transformation tailwinds, coupled with contributions from our enterprise go-to-market initiatives. As of Q1, nearly half of the Global 2000 are now Alteryx customers. We had an exciting quarter on the cloud front, with our new product launches and game changing acquisition of Trifacta. Our entire cloud portfolio is now available as part of our new unified Alteryx Analytics Cloud platform. And last but not least, we strengthened our leadership bench. We promoted Paula Hansen to President earlier this year. Welcomed Keith Pearce as our new Chief Marketing Officer, and recently added Lucas Moody as our new Chief Information Security Officer. We are committed to our vision of democratizing data analytics for all and our highly differentiated low code/no code end-to-end analytics platform continues to resonate with our customers and prospects. Our strong results further bolster my confidence in both our go-to-market strategy and our innovation path ahead. I'll begin with some financial highlights, followed by an update on our product innovation momentum and go-to-market strategic initiatives. Annual recurring revenue or ARR of $684 million grew 33% year-over-year reflecting the fourth consecutive quarter of accelerated year-over-year growth. Revenue of $158 million grew 33% year-over-year, a reflection of strong underlying tailwinds from our large customer cohorts. We had a record Q1 in terms of number of $1 million ACV deals double that of Q1 last year. And as a great early proof point of policy enhanced go-to-market motion, I'm delighted to share that we secured another eight figure TCB win with the Fortune 100 Financial Services organization that more than doubled its contract value as it expands its Alteryx use to new teams and global markets. We expect more to come as we continue to win with large enterprises across a wider range of personas than ever before. Simply put, the results were fantastic. And I'm so proud of the entire Alteryx organization. Earlier I highlighted a couple of key additions to the leadership team and we have seen parallel trends of strengthening the team throughout the organization. The best leaders attract top talent. We're benefiting from a virtuous cycle of high-quality team expansion, with employee retention rates at the highest level in over a year. We also welcomed over 200 employees from Trifecta whose deep industry skills continued to strengthen our cloud capabilities. I'm confident that with the right leadership team in place, and a rapidly expanding pool of skilled talent, the company is well-positioned to capitalize on the attractive market opportunity ahead of us. And that data analytics market opportunity is massive. According to IDC, there were $65 billion in annual spend today, and that is projected to exceed $110 billion by 2025. This is a market defined in large part by spend on disparate siloed legacy data engineering and analytic tools. In Q1, we benefited from a continued increase in customer demand for a more comprehensive, unified analytics platform. In addition, a separate study we commissioned with IDC indicated that a significant volume of data analytics is still happening primarily in spreadsheets. This study highlighted that across nearly 80 million advanced spreadsheet users, over 60 billion hours per year are wasted in unsuccessful or repetitive data analytic efforts. Meanwhile, we're beginning to see enterprise digital transformation at a global scale, which is creating incremental opportunities across a range of new personas, including data engineers, business analyst, and often the business executives themselves. Large enterprise companies are embracing digital transformation and are in the early stages of their journey to become data centric organizations. This generational shift towards data literacy is creating urgency for companies to upskill their workforces to embrace data, extract insights and unlock new opportunities to drive growth and create value. These dynamics create three key opportunities for Alteryx with respect to the addressable market. One, we can gain share in a tangible $65 billion market that is ripe for modernization. Two, we can expand the addressable market by empowering spreadsheet users with our low code/no code analytics platform. And three, we can meet the incremental demand of new personas emerging with this underlying wave of digital transformation. This aligns perfectly with our vision of democratizing analytics for all. Global demand for data analytics is ramping, and we have strategically aligned the company's product innovation, and go-to-market motion to meet this meteoric opportunity. It begins with our flagship designer solution, which has long established Alteryx as a leader in the data analytics industry. Our unique offering of rich enterprise analytic capabilities with a low code/no code user interface continues to be a key driver of our success. For our customers, the operational efficiencies that designer provides are transformational. Time and again, our customers leverage our solutions to optimize processes that take multiple hours, if not days, into workflows that execute in a matter of minutes. And the fact that we can empower a business analyst that has no coding expertise with these capabilities is career changing for our users. We take great pride in the level of engagement and enthusiasm across our user community of well over 300,000 users. As we look to the future, we are committed to providing true end-to-end analytics capabilities. This begins with the expansion of our product offerings to include new cloud-based solutions. In Q1, we launched our cloud offerings in North America, Designer cloud, Alteryx Machine Learning and Alteryx Auto Insights. And of course, we completed the acquisition of Trifecta, which both expands our data engineering capabilities, and enhances our ability to drive meaningful workloads into and within cloud data warehouses. On that note, our journey to unifying analytic apps on the Trifacta platform is progressing very well. We expect to have some milestone updates to share soon. As we are now equipped with a comprehensive breadth of cloud-based offerings, we're excited to have recently launched Alteryx Analytics Cloud platform. This platform approach will enable customers to access our complete cloud offering portfolio through one unified solution suite. We believe this consistent user experience across our portfolio solutions will foster cross team enterprise collaboration as new personas embrace data analytics. In addition, providing access to our complete suite of offerings in a single interface should nurture multiproduct engagement and accelerate our customers' ability to upskill their broader workforces. While still early on, we are pleased with the customer interest and initial pipe gen. In fact, we already have one of our larger Global 2000 customers on track to implement multiple cloud solutions this quarter. Demand is ramping and we have a highly differentiated expanded product offerings that is resonating with our customers. With that in mind, it's important to complement our innovation strategy with a targeted scalable, go-to-market motion. The first key initiative here is amplifying our sales focus on larger enterprise companies. Building off a solid foundation of enterprise business we've significantly expanded and focused our enterprise sales team over the past year. As these sales reps ramp, we find ourselves engaged with customers at a more executive level and across a broader range of user personas. This top-down strategy complements our land and expand motion of seeding smaller wins to expand over time. Only we are now seeding fields of opportunities across entire organizations. We're seeing success with this strategy in landing new large-scale wins, as well as with favorable expansion trends within the customer base. In terms of new Global 2000 wins, we had a strong quarter, including several marquee companies such as AES, Boston Properties, Credit Agricole, Investec and Voya Investments, among others. In fact, our Global 2000 penetration expanded by roughly 6points year-over-year to 45% in Q1. In Q1, Lotto Hessen, a German based digital lottery provider, selected Alteryx to empower its marketing team with enhanced customer analytics and visibility. The ease-of-use, depth of analytic capabilities and flexibility to integrate with other enterprise workflows were key drivers of this win. We're so excited for Lotto Hessen as they begin their journey with Alteryx designer and server. We're also seeing success with our enterprise motion via net expansion with our Global 2000 net expansion rate once again at 128% this quarter. Another positive customer journey example is with Optus, one of the largest telecommunication providers in Australia. Optus has broadened its implementation of Alteryx solutions across multiple departments in recent years, and is now empowering its network team with rich insights as they plan for 5G infrastructure deployment. Optus has done some amazing work and driving efficiencies with Alteryx and also optimizing customer facing experiences with tangible results. The second key initiative in scaling our go-to-market strategy has been partnerships. We have a thriving ecosystem of partners across solution providers, distributors, and global systems integrators, as well as with technology and OEM partnerships. Earlier this year, we announced an updated partner program that further empowers this community to effectively bring Alteryx solutions to the global markets and elevate user engagement. We had a great partner led new logo win with a multibillion-dollar Canadian based information management company. In working with one of our global elite GSI partners, this customer is implementing designer within its tax organization to unlock significant efficiencies in terms of time and cost savings. And more often than not, our larger partners are customers themselves. In Q1, one of our sizable partners expanded its own Alteryx 1000 Plus license implementation to include new predictive capabilities in greater capacity. What an endorsement it is to see our partners more deeply embrace the Alteryx platform to drive efficiencies within their own businesses, as well as for their customers. Before passing the call over to Kevin, I'd like to take a moment to address the unconscionable war being waged on Ukraine and its citizens. Our focus is on the safety and wellbeing of our employees. We have approximately 40 employees based in Ukraine, and we have actively worked with many on relocation. And while we do not anticipate a meaningful impact either revenue or operational workflow, we are humbled by the courage and commitment shown by our colleagues and their families. We will continue to support their needs through this difficult time. In closing, we delivered an outstanding first quarter and we're off to a solid start for FY '22. I firmly believe this is just the beginning. We have a massive market opportunity that is very much in need of democratized analytics for all. We have an expanded portfolio of solutions that are now unified in a single cloud-based platform. And we have a scalable, enterprise focused global go-to-market motion. I'm so proud of what the team has accomplished and I'm energized and excited by what's to come. With that. I'll turn the call over to Kevin.
Kevin Rubin: Thanks, Mark. Q1 was a strong financial quarter across the board with key growth and profitability metrics exceeding our expectations entering the quarter. ARR of $684 million grew 33% year-over-year, above the high end of our guided range. Net new ARR more than doubled year-over-year with increased average ARR per customer contributing to the upside as we are benefiting from increased traction with larger customers. Revenue of $158 million also exceeded the high end of our guided range with growth acceleration in both domestic and international regions. A non-GAAP operating loss of $30 million was better than guided with much of the revenue upside falling through to profitability. Recall this is the first quarter reflecting Trifacta costs. Underlying these strong results are positive tailwinds with large enterprise customers. In Q1, customers with $100,000 or greater in ARR delivered continued acceleration in year over year ARR growth to nearly 40%. This strength is driven in part by robust new logo wins with larger enterprise customers. Over the past 6 months, we have expanded our customer base with over 500 net new customers and roughly a quarter of those new customers are within the Global 2000. Over the last 12 months, we've added approximately the same number of $1 million ARR customers that we added in all of 2019 and 2020 combined. This favorable mix and new customer adds provides us significant incremental upsell opportunities within our lowest churn customer cohort. Building upon this momentum we continue to reinforce our investments in customer success to drive net retention durability with this expanded customer base. A great example of this is with one of our largest banking organizations in Europe. This longtime customer of Alteryx has leveraged hundreds of designer licenses and servers across multiple departments, including finance, regulatory, treasury to name a few. As they continue to broaden their engagement with Alteryx, we are now providing inspiration sessions with a partner to train, coach and attract new users to the platform. Our commitment to the customer was once again validated in Q1 with our net expansion rate coming in at 119%, consistent now for three consecutive quarters. And with our Global 2000 that expansion rate of 128%. We are also seeing favorable customer response to our ELA offerings in terms of both upsell momentum and multi product adoption. For example, a leading provider of branded payment solutions quadrupled its Alteryx implementation in Q1, and also put into place an ELA to explore new predictive capabilities and use cases. As a reminder, our ELA offerings include additional license flexibility to encourage speed of deployment. Over one-third of our ELA wins from the second half of 2021 are already leveraging the additional licensed flexibility provided by the sales motion. This is a positive growth driver for the business Plus provides us a higher level of visibility on near-term upsell momentum. As our sales strategy to focus on larger enterprise customers takes hold. The average ARR per customer demonstrates how we are consistently growing within this important cohort. In Q1, we achieved a record high average ARR per customer of $83,000. This is a metric that has been growing for several quarters and accelerated 4 points year-over-year in Q1. We are pleased with the growth trajectory of the business and given the size of the market opportunity continue to invest for durable growth in the years ahead. But these investments will be made with discipline as we appreciate the importance of optimizing the underlying profitability of the model. Case in point, we exceeded the high end of our revenue outlook by $11 million and came in $17 million better than the high end of our profitability outlook, meaning we captured more than 100% of the Q1 top line beat at the operating profit level. This provides us additional resources to redeploy into the business over the remainder of the year to fuel long-term durable growth. At the same time in Q1 we were able to elevate investments in customer success, accelerate our velocity of sales rep hiring and continue our pace of rapid innovation in both cloud and our flagship solutions. Looking ahead, we have multiple profitability levers in place particularly with sales and marketing. We've had great success in attracting new enterprise sales talent with our biggest hiring quarter ever. We brought on many well tenured sales reps with a wealth of sales experience coming from Fortune 500, and multibillion dollar software companies. As these reps ramp, we expect positive tailwinds with sales rep efficiency in the second half of the year as our mix of ramped sales reps increases. The strong enterprise momentum is also positive for long-term margin trajectory, given the high renewal rates with lower CAC associated with the potential upsell. And as we scale the business over time, we expect to continue to unlock efficiencies of scale across the operating expense items. And of course, as we integrate Trifecta as part of our natural sales motion, we'd expect related revenue contributions to offset the corresponding expenses that are now fully reflected in our non-GAAP profitability. With this backdrop of robust ARR growth, ramping enterprise traction, favorable profitability trends and incremental drivers ahead, let's turn to the outlook. For Q2 '2022, we expect ARR to be in the range of $718 million to $721 million, representing year-over-year growth of 31% to 32%. Given our growing contributions from international customers and the geo -- current geopolitical environment, we've incorporated an element of currency prudence in our outlook. We expect GAAP revenue to be in the range of $159 million to $$162 million, representing year-over-year growth of 32% to 35%. We expect our non-GAAP operating loss to be in the range of $50 million to $47 million. This reflects the cause of our full -- first full quarter of Trifecta returning to our offices in our Annual User Conference in May. We expect non-GAAP net loss per share of $0.61 to $0.58. This assumes $68.2 million weighted average shares outstanding. For the full year 2022, we are increasing our ARR range to $812 million to $822 million, representing year-over-year growth of 27% to 29%. This is up from the prior growth range of 26% to 28%. We are increasing our GAAP revenue range to $730 million to $740 million, representing year-over-year growth of 36% to 38%. This is up from the prior growth range of 32% to 34%. We expect non-GAAP operating loss to be in the range of $40 million to $30 million, an improvement from our prior outlook for a loss of $50 million to $40 million driven by the incremental Q1 efficiencies. We expect non-GAAP loss per share to be in the range of $0.56 to $0.46 and improvement from our outlook from a loss of $0.68 to $0.58. This assumes $68.3 million basic shares outstanding and an effective tax rate of 20%. In summary, Q1 was an excellent start to the year. We are pleased to see the early benefits of our strategic investments and go-to-market and product contributing to the strong results. The market opportunity is massive and rapidly expanding with new personas and use cases. And Alteryx is uniquely positioned to meet this increasing global demand with our platform of leading on-premise and cloud-based analytics solutions. Before handing the call to the operator, I'd also like to note that we have an Investor Day coming up on May 17 as part of our 2022 inspire User Conference in Denver. We will further discuss Alteryx market opportunity, sales strategy and platform innovation path with a live customer panel for those joining in-person. As a CFO that leverages our solutions across my entire organization, I am intimately aware of the efficiencies, cost savings and user empowerment our solutions provide. With our first in-person user conference in 2 years, I am so excited to provide our investor community with the opportunity to experience it firsthand. With that, thank you all for joining us today. And I'll turn the call back to the operator for Q&A.
Operator: Thank you. [Operator Instructions] We have a first question from the line of Tyler Radke with Citi. Please go ahead.
Tyler Radke: Okay. Thanks for taking the question. Maybe a question for Mark or Paula, there was a lot of discussion around some of your large customer expansions this quarter, it sounded like the ELA program, is off to a good start. I'm curious, how much is the Trifacta acquisition and just kind of this new vision on cloud helping drive those expansions in those conversations? And what are you messaging the customers in terms of timeline for the eventual conversion onto the Trifacta back end? And also, what are you saying just in terms of moving to a usage-based model over time? Thanks.
Mark Anderson: Hey, Tyler, thanks a lot for the question. I think you nailed it in your quick recap that you just published. It really, I think it's really seeing the benefit of the go-to-market improvements that Paula has made in the last -- really in the last year, really showing execution across the board, elevating the discussions with customers, senior executives and just driving bigger deals with a much stronger enterprise traction, I think the enhanced portfolio it gives us more to talk about, but I would say that the business with Trifacta is still very much rounding error at this point. We've been really clear with our customers and we'll continue to do so at our upcoming inspire conference by giving kind of a pretty granular roadmap for how we're going to deliver cloud down the road.
Paula Hansen: Yes, Tyler, I would just add to that, that we definitely anticipated that the delays were going to be well received in the market. Because the customer feedback was, they were looking for ease of expansion, predictable pricing, a way to sort of manage bringing more users into the Alteryx platform. And the ELA does that very nicely. And we're really excited with the results that we've seen. We shared a couple of those in the prepared remarks about over a third of the customers are already bursting into extra capacity and expansion of users with us as an outcome of this ELA vehicle. And now as we look forward, we'll be having the Trifecta Solution as well as the entire analytics cloud platform available to our customers in an ELA capacity as well. So, it will just layer on really nicely to this ELA construct that's been really well received by our customers and driving ease of expansion.
Tyler Radke: Great. Thanks so much.
Mark Anderson: Thanks, Tyler.
Tyler Radke: Thank you. We have next question from the line of Brent Bracelin with Piper Sandler. Please go ahead.
Hannah Rudolph: Hi, all. This is Hannah Rudolph on for Brent today. Thanks for taking my question. Just a few for you, Paula. You've been at Alteryx for just about a year now. And as you reflect back, I was wondering what your biggest learning has been, and what your key priorities are for the remainder of the year? And then alongside that, I guess, how was the sales integration going post the Trifecta integration, our acquisition and what is left to be done there? Thanks.
Paula Hansen: Thanks, Hannah. Great question. So, yes, I'm coming up on one year here, on the 17th, and even more bullish than I was on day one, because of the opportunity that our customers see with Alteryx. I mean, clearly, the biggest learning is that the opportunity to democratize analytics across the enterprise is the answer for enterprises today that want to become data driven, and are looking to build differentiation in their markets and leverage their data to do that. And as powerful as the last couple of decades have been of building out data science teams, and so forth. Everyone's realizing that that capability is in short demand, and that the only answer is to democratize analytics across the enterprise from knowledge workers, to business analysts to data engineers and business owners alike. So, we're really convinced that our Alteryx analytics platform and cloud platforms are the path to democratizing analytics. And then we've married that up with investments in customer success and partnerships to help our customers with you being able to roll this out, and deliver business outcomes across virtually every function in the enterprise. As we look forward, we're really engaged in a lot of cloud conversations with customers right now. They are definitely wanting to understand as they continue their expansion with Alteryx, where the cloud platform plays into that. And as they plan out their journeys to the cloud, they're looking for a business partner, like Alteryx to help them navigate through that. So, I think that the future is bright for us with our customers. And we're just going to continue investing in the Global 2000, continue investing in partnering with our customers around customer success to help them unlock the innovation that Suresh and team are building around our analytics cloud portfolio.
Mark Anderson: Thanks, Hannah.
Hannah Rudolph: Thank you.
Operator: Thank you. We have next question from the line of Derrick Wood with Cowen & Company. Please go ahead.
Derrick Wood: Great. Thanks. Congrats on a strong quarter. Kevin, maybe I'll throw one at you. You guys talked about this, this push to transition from 3 year to 1 year contracts and expect a decent kind of ASP uplift as you cycle through that. So, can you talk about how big of renewal year 2022 is? How effective you think you can be in kind of making this contract structure change? And then, given that it sounds like you've got to grow in mix from the enterprise, which carries higher net revenue retention rates. How are you thinking about the direction of NRR through the year?
Kevin Rubin: Yes, thanks, Derrick. Appreciate the questions. So, starting with pricing, and the proportion of renewals that we have in '22, may be relative to '21, we certainly have a much larger population of renewals coming up this year on a relative basis and keep in mind that the largest population and renewals are in the second half of the year, which also provides us with a lot of visibility into how we think about H2 as well. So that's kind of one. From a pricing perspective, we took a pretty significant effort last year to really solidify pricing for 1-year contracts and take away the heavy discounting on multiyear. And we saw that play out pretty well for us through the back half of '21, and I would say that pricing has been pretty stable into the first quarter of '22. And I would expect to continue to see stability in pricing as we go forward in the year. We still have customers that are electing 3-year contracts. And we're happy to have that, that conversation with them, as they continue their deployment. So, I think that -- as we think about contract duration, we obviously have seen it, it stabilized quite a bit here in the last two or three quarters, and I'm hopeful that we'll see that going forward. Derrick missing one last part of your question.
Derrick Wood: Yes, it was just the direction of net revenue retention, especially given that what seems to be a kind of a rise index from enterprise.
Kevin Rubin: Yes, thank you. So that's exactly right. And I think as you see us continue to focus on that customer segment in the Global 2000 as the customer segment is generating 128% of net retention, as we continue to kind of roll out and invest in customer success. We think that that's also a driver of stronger net retention. So, very pleased that we've seen the 119 across the total customer base. Stable now for three consecutive quarters. And I think if you look at what we've been able to achieve within the Global 2000, I think that gives you a sense for how this can trend over time.
Derrick Wood: Well, thank you.
Kevin Rubin: Thanks, Derrick.
Mark Anderson: Thanks, Derrick.
Operator: Thank you. We have next question from the line of Ittai Kidron with Oppenheimer. Please go ahead.
Ittai Kidron: Thanks. Hey, guys, nice quarter. Mark, I guess a couple for me that are tied together on the product side. Clearly, you're getting much more traction with large customers. That's great. Maybe you could talk about the landing. Clearly in the past used to be people landed with a couple of designers. In what way are you landing differently now with large customers? And maybe you can just talk about just in the context of volume, but also from a product? Are you landing differently with product? And then the second question on the portfolio. Going through your website right now, you'll -- when you go through the product list, it's quite long and extensive, and frankly, confusing, I guess. My question is, do you see an opportunity here, perhaps over the next year to simplify consolidate bundled all of this a little bit better to make it a little bit easier for customers to land bigger. Not just kind of start picking and choosing multiple, multiple products and going through that, trying to figure out what's right and wrong and make it easier for them putting it much more package better together?
Mark Anderson: Yes, Ittai, thanks a lot for the question. For sure, there's more focused-on landing with large enterprises. And oftentimes, if we do a good job articulating our proposition of value, will land with a larger deal. I think, in the past, we've had different tools that allowed the sales teams to get to sell to users, I think by broadening our focus to include executives and lines of business owners. And then, kind of coaching and developing the team to think big these digital transformation projects. They're not departmental, they're company wide. And they require a different sort of sales motion and a different discipline that Paula has really brought home and space for us. The tool that has been really successful for us, as Paula mentioned earlier, is our enterprise license agreement, which kind of removed the shackles from customers focusing on a hard ceiling of number of users that they can use, and allows them to burst upwards of 50% to kind of like flip the script and allow them to go faster. Because we're finding customers now, really are buying into the notion of upskilling and up leveling their people to become more citizen data scientists. In terms of the product side, I take your informed point of view, seriously, you're a smart guy. And I've always appreciated your point of view. We are definitely -- we've definitely streamlined our product line over the last few years. And I think as we go forward, you'll see the platform that we're building in the cloud, will avail a whole host of applications that customers will be able to hit up. And Suresh is right here beside me. He's building out that platform and driving the integration with Trifacta. Maybe he can give you a bit more color. 
Suresh Vittal: Yes. Ittai, thanks for the question. And as we think about the product portfolio, announcing the Alteryx Analytics Cloud as the unified analytics platform where our customers can enjoy the benefits of designer cloud Trifecta, Alteryx machine learning and Auto Insights in one kind of product experience was kind of critically important for us. And that's where we're aspiring to go with the delivery, and our customers will continue to enjoy the benefits of designer and server as they think about running Alteryx on their desktop. So, you'll start to see us converge on those two models of deployment.
Ittai Kidron: Very good. Thank you. Good luck, guys.
Mark Anderson: Thanks, Ittai.
Operator: Thank you. We have next question from the line of Sanjit Singh with Morgan Stanley. Please go ahead.
Sanjit Singh: Yes, thank you for taking the question, and congrats on a strong start to the year. I guess I'm going to go ahead and ask the macro question because it's sort of been top of mind all throughout earnings season. And so just from your perspective, I guess we can sort of looking at two ways. One sort of coming out of COVID and budgets getting in a better place for analytics more broadly. And then two, sort of the concerns around potentially Europe and potential recession in North America. When you talk to your sort of large enterprise customers, what are they telling you about spending in Alteryx, and their digital transformation budgets more broadly? And how that sort of embedded into your framework for guidance for this year.
Mark Anderson: Yes, thanks, Sanjit. Certainly, we're painfully aware of what's going on in the macro environment. I do think though, however, whether it's number one or number two, we constantly hear from executives that functionally and digitally transforming everything about your business is a priority. And it's really starting to drive that priority through into budget cycles and allow solutions like Alteryx. And services, like our partners can deliver around Alteryx, to make it above the red line on that CFO spreadsheet that gets prioritized, and spent every quarter. So, I think the upleveling of the team that Paula has continued to do and the solid training that we've got, gives us access to the right kind of people that are making those decisions. I think, governments and enterprises need to upskill people to do a better job of running a business or running a government.
Sanjit Singh: That makes perfect sense. Thank you so much, Mark, for the thoughts there. When we think about sort of the nature of investment? I think last year, the team was really focused on getting the right people in the right rules. Paula working on like pricing and packaging and go-to-market. How does the sort of investment focus change in 2022 versus '21 and sort of layout the areas of investment to drive the continued growth in the business?
Mark Anderson: Yes, thanks for the question. So, as we talked about last quarter, going into the year, the areas of investment can continue to be within the go-to-market, in particular, building out the global organization, the global teams, I would like to call out that we've continued to invest prudently, if you will, in customer success, as we continue to put resources around our largest customers to ensure that they're getting value and continuing to identify areas to expand with the acquisition of Trifecta, and the cloud efforts were continuing to put investments into product engineering, and that's a key area of focus. And then we're, obviously, as you saw from the performance of Q1, we were able to beat handsomely on the bottom line. And that's, important to us as we think about the year going forward.
Sanjit Singh: Great. Congrats on Q1, guys.
Mark Anderson: Thanks a lot.
Kevin Rubin: Thank you.
Mark Anderson: Appreciate it, Sanjit.
Operator: Thank you. We have next question from the line of Mike Cikos with Needham & Company. Please go ahead.
Michael Cikos: Hey, guys. Thanks for taking the questions here. I did have a couple on the guide for Kevin. But I just wanted to get a better understanding of how you guys are looking at the guidance for the remainder of the year. And really, there's two pieces to that. First on the ARR. So, you guys beat your guide at the midpoint by about $7 million and raised full year by $7 million at the midpoint. And just curious what you're seeing in the year that, like, why not raise above that? And then the second question, again, coming to the guide, but on the operating profit. I know we spoke to the fact that you guys beat handsomely on the bottom line, you beat your midpoint in Q1 by almost $90 million. But when we think about full year guide, the midpoint moving up just $10 million. So, what are some of the puts and takes when we're thinking about that ARR guide, and how it's changed now as we think about the remainder of calendar '22
Kevin Rubin: Yes, thanks, Mike. I'll give some commentary, and if anybody else has, they're happy to jump in. As I mentioned, in one of the prior questions, we do have the benefit of pretty good visibility into the back half, both in terms of new bookings as well in the renewals and just the size and nature of that renewal base. We executed well in Q1, right. We are going into Q2 with a lot of momentum. The team is executing well. Mark mentioned we have strong visibility into the pipe. And so, we are feeling confident. Now having said that, we did apply some prudent elements of -- or excuse me, we did incorporate some elements of prudency, if you will, into the guide to take into consideration what's going on in the macro backdrop. But it's also -- just to be clear, we recognize the importance of putting out guidance that we have confidence in. On the bottom line, as I mentioned, we are carrying forward the revenue beat into the guide for the full year, but there is opportunity for us to continue to be very disciplined in where we invest in the year to continue to drive growth.
Michael Cikos: Thanks for that. And then I know we were talking about the operating drop as well with the guidance that you guys just laid out for Q2 and this upside we saw in Q1. Can you help us think about the cadence of OpEx or gross margins as we're looking to the second half of the year now, just because I think that the Q2 operating profit was lower than maybe what we had been expecting. And I'm trying to get a sense -- I know that you have a couple of things in Q2 like the DISH. I guess the user conference is coming up in May, but I just want to make sure I'm thinking about that properly as well.
Mark Anderson: Yes, that's exactly right. So, we do typically have some seasonally higher expenses in Q2. So certainly, you called out the costs associated with our Inspire Conference. We also have incremental costs that we've incurred for return to office. So Q2 is seasonally higher. We do expect the back half of the year to settle into more normalized range. So, as you're thinking about operating expenses, I would put those layers on.
Michael Cikos: Thanks a lot, Mark.
Mark Anderson: Thank you.
Kevin Rubin: Thank you.
Operator: Thank you. We have next question from the line of Kamil Mielczarek with William Blair. Please go ahead.
Kamil Mielczarek: Hey, thanks for taking my question and congrats on a strong quarter. Your sales and marketing headcount was up, I think, 30% at the end of last year, and it sounds like that hiring strength continued into '22. Can you update us on how the new reps have ramped relative to your initial expectations, how the areas of investment focus may have changed over the past year? And how should we think about the sustainable rate of sales headcount growth going forward?
Mark Anderson: Yes. Maybe I will start off, Kamil, and thanks for the congrats and then hand it over to Paula, our President and COO. But listen, I think we put together a really strong foundation to drive execution to large enterprises, large governments around the world and really start to see the benefits from the sort of tailwinds of digital transformation that's impacting all. So -- and I couldn't be prouder of the job that Paula has done to not only help prop up the team that we have here and continue to make them the best and brightest, but to attract many more that are coming from outside of Alteryx.
Paula Hansen: Thanks, Mark, and thanks, Kamil, for the question. We have definitely been really focused on hiring. I think we’ve talked about it the last couple of quarters how we've put an operating cadence in place much like our forecasting cadence around hiring where we are really, really focused on this. So we have been really pleased with the record hiring. I think if you look over the last couple of quarters, we've definitely set our highest levels of hiring and sales and marketing. And we have seen consistent productivity that is aligned with our expectations of those individuals as they come on board. And as we continue to infuse them with the enablement that we’ve built over the last year, we are bullish on the impact that, that increased capacity can deliver as we go into second half.
Mark Anderson: Yes, it really shows up in the numbers as it usually does. I think we talked about the record number of million-dollar ACV wins in Q1. We saw us getting close to 50% of the G2K are now Alteryx customers. And just over the past 12 months, we added roughly the same number of million-dollar ARR customers that we did in the last 2 years. Question
Kevin Rubin: It's incredible to see that. That's helpful. And just as a quick follow-up. Has the ramp of the cloud portfolio led any changes in the competitive environment? Are you seeing anyone new on head-to-head deals? And how is that cloud product impacting win rates?
Paula Hansen: Yes. The cloud platform has been a really exciting opportunity for us with our customers. It expanded the audiences that we can to. In particular, has opened up our conversations with IT, with the CIOs as we're talking about expansion across the enterprise, and they're wanting to understand how to do that easily, how to operate in their cloud environment, how to deliver the different analytic capabilities to the different types of persona across the enterprise. So, we're having the conversation with all our customers. And I think the reception has been really positive in terms of seeing Alteryx as the partner for them as they navigate their journey to the cloud.
Mark Anderson: Thanks, Kamil. Thanks again, Paula.
Paula Hansen: Thanks, Kamil.
Operator: Thank you. We have next question from the line of Joel Fishbein with Truist. Please go ahead.
Joel Fishbein: Hi, all. Congratulations on a great quarter. I have one for Mark and Paula, and then just a quick follow-up for Kevin. Just Mark, Paula, just can you give us an update on the Snowflake partnership and how that may be helping to drive some deals? And Kevin, just curious if you believe like you're in a good position now to potentially give us a longer-term guide at Analyst Day that's coming up in a couple of weeks.
Mark Anderson: Joel, thanks for that. Listen, the Snowflake partnership, I think, is going really well. We are really proud of the work that the technical teams under Suresh has done to build really meaningful integration not just from our perspective or Snowflake's perspective, but more importantly from customers' perspectives. And it's really driving field level engagement. Teams getting together at Starbucks, you are talking about strategies to jointly prosecute an opportunity. And when both sides of the equation here, both Alteryx and Snowflake are getting value, it's always great for customers. I don't know if you want to add anything to that, Paula?
Paula Hansen: Yes. It's -- I think you're spot on. It's been, by far, one of our strongest partnerships, and we are only getting started with them. They obviously are really focused on consumption and the feedback that they've provided is that they're seeing Alteryx really drive consumption because of the push down capability that we have. And as more and more customers are building out cloud data warehouses and want to harness the power of all that data sitting in the warehouse, they're turning to Alteryx for that analytic capability. So really pleased with the partnership with Snowflake, just getting started there and anticipate continued growth in our joint customers.
Kevin Rubin: And just quickly on your question with respect to the long-term model. We do intend to have a conversation as part of the Analyst Day at Inspire in a couple of weeks on a long-term model as well.
Joel Fishbein: Thank you so much.
Mark Anderson: Thanks a lot Joel.
Kevin Rubin: Thank you.
Paula Hansen: Thank you.
Operator: Thank you. We have next question from the line of Pinjalim Bora with JP Morgan. Please go ahead.
Pinjalim Bora: Great. Hey, guys. Congrats on the quarter and thanks for taking my questions. Can I -- can you go one click deeper on the macro question. Maybe you touch upon the demand environment in the various theaters that you're seeing, especially in Europe? Are you seeing any kind of change in tone in the customer conversations? Any kind of higher level of scrutiny, sign-offs required? Any color would be helpful. And secondly, Kevin, is it possible to parse out the ARR in terms of the inorganic contribution for Trifacta and Hyper Anna, is there any change in your assumption for the year?
Mark Anderson: Well, thanks for the question and congrats, Pinjalim, great to hear from you. On the macro side of things, listen, I think what we saw in Q4 and really in Q3 last year was the Americas team really kind of achieve escape velocity. And in my experience, having gone through this a few times before. Usually, Asia Pac, Japan and EMEA are anywhere from 9 to 18 months behind that in terms of experiencing the same kind of execution escape velocity. Paula has hired two really good senior leaders to run Asia Pac, Japan and EMEA. And like I said in my prepared comments, good talent always begets and has good talent follow it. So, we've seen really good demand coming from all areas of the globe. That's one of the great things about what we do is it matters to every single vertical, government, every vertical in the enterprise spectrum. And companies need to run more efficiently and better. And human beings want to upskill themselves to be more strategic to their businesses.
Paula Hansen: Yes, Pinjalim, I would agree with that. Very similar conversations happening globally right now, nothing particularly unique to EMEA and APJ, and we are just really excited about the strength of the leadership across our three important geographic theaters. And seeing the democratization of analytics conversation of analysts ringing true across industries and across geographies.
Mark Anderson: Yes. Thanks, Pinjalim. Just quickly about your question. There haven't been any changes to the assumptions that we laid out going into the year. So, we do expect Trifacta to contribute about $20 million in ARR this year. We are not planning to break it out just given the small size, but there are no changes in assumptions.
Pinjalim Bora: Got it. Thank you.
Kevin Rubin: Thanks.
Mark Anderson: Thanks, Pinjalim.
Pinjalim Bora: Thank you.
Operator: We have next question from the line of Chase Donovan with Raymond James. Please go ahead.
Chase Donovan: Thanks for taking the question. I know in 2021, there was a big focus on the channel program, and you guys made several key announcements adding key channel partners. Curious to hear how you are seeing those channel partnerships ramp here in 2022? And how do you think about adding new partners, particularly to support your new capability?
Kevin Rubin: Yes, Chase, thanks for the question. I'll start off and then pass it over to Paula. Listen, I think this is a massive market. It's a $65 billion total addressable market according to IDC, and basically it growing to $110 billion by 2025. So, we can't prosecute this by ourselves. No one company is going to be able to do that. We’ve got to do it with all different kinds of partnerships, both distribution as well as technology and OEM partnerships. And so last year, we hired a great person to sort of build out the muscle and build out the organization to leverage these partnerships. And consistently, since Paula has been here, she's been training our teams on how to work better and smarter with partners, like we mentioned Snowflake earlier, but there's a lot more technology and distribution partners behind that. Paula, maybe some more color.
Paula Hansen: Yes. Chase, I mean, this is a huge pillar of our growth strategy. We -- as you mentioned, we launched our partner program to be very intentional about the benefits that our partners can enjoy when building their businesses with us and uniquely identifying the needs of a GSI versus an ISV versus a solution provider, and we have clearly, top partners in all of those categories, and we are continuing to recruit more. And overall, we think the attach rate of partners to our business will grow as a percentage of our business as we grow, and we are starting to see early indicators of that just since the launch of the program. So, I think you'll continue to see this as being a really significant pillar of the growth strategy as we go forward. And we'll talk a lot about that at Inspire as well. So again, another plug there for those of you that can join us to understand how the partnerships play out in the market in support of our customers.
Chase Donovan: Perfect. Thanks and looking forward to joining you guys in Denver.
Paula Hansen: Thanks, Chase.
Mark Anderson: Thanks a lot, Chase.
Operator: Thank you. We have next question from the line of Koji Ikeda with Bank of America. Please go ahead.
Koji Ikeda: Hey, Mark, Paula and Kevin, thanks for taking the questions. Just one for me, really on the -- on your commentary with the increased traction with the larger customers. I just wanted to kind of dig in there a little bit. I mean is that really that increased traction being driven by adoption of the legacy designer and server products? Or -- is there any sort of adoption of Designer cloud or maybe even Trifacta that's driving that increased traction with the larger customers? And I guess from a bigger perspective, thinking about that increased traction. I mean, what's going on in the end market right now with the upmarket traction, maybe something that's a little bit different in '22 versus the years past.
Paula Hansen: Yes, Koji, thank you for the question. So, the answer is all of the above. So, the expansion and the growth that we see with our customers does look like more designers. It does look like introduction of servers into the environment to drive broader automation and scheduling and sharing of workflows. And it looks like the cloud products and the adoption of cloud products into the environment. So, it's all of the above. I mean, I will give you an example. We made reference earlier in our prepared remarks about a large financial institution in the U.S., who doubled their demand with us. That is driven both by designer server expansion as well as their interest in Trifacta, in their cloud data warehouse environment, their interest in conversations around auto insights because they want to help their executive team better understand what's happening in the business. So, it's all of the above. And that's the beauty of our vision of a unified end-to-end platform. And these ELA constructs that we have is customers can go all in with us and be able to expand through a variety of different products.
Mark Anderson: Yes. I will just add on top of that, Koji. I think we are broadcasting to a much broader set of personas now, and we are marketing to lines of business up and down their organizations. And I think we are driving more relevance to this -- in this market. I think there is massive vendor fatigue with over 400 companies, all kind of sounding like to do about the same thing, but nobody does what we do, and that's -- we take the hardest part of the journey, the early part of the journey of getting going and allowing customers to access more than 100 data sources and use more than 100 plus tools with relatively little training. So, I think we are really trying to drive that relevance and we've got a very strong vision because our customers are on a journey to the cloud. They're not -- the customers that we are focused on aren't going to put all the rigs in one basket, and they want to have a vision that makes sense. And I think democratizing analytics is really doing that for them.
Koji Ikeda: Thanks, guys. Thank you so much.
Mark Anderson: Thanks, Koji.
Operator: Thank you. We take the last question from the line of Patrick Walravens with JMP Securities. Please go ahead.
Joey Marincek: Thank you so much. It's Joey Marincek on for Pat. I appreciate the question. How are you thinking about M&A at this point? I saw you made some recent hires on the corporate development side. So just curious to get your thoughts there. Thank you so much and congrats.
Mark Anderson: Yes. I’m sorry. I missed it. Is it Jeremy?
Joey Marincek: Joey, thank you.
Mark Anderson: Oh, Joe. Okay. Sorry about that. Well, thanks for the question. Yes, listen, we did the biggest acquisition in the history of the company last quarter, and we are working really hard right now to knit together our innovation on Alteryx with an amazing team from Trifacta. We have built out a corporate development organization. We really didn't have one before. and just hired a new leader in the last quarter or so, and she is really off to a great start. We’ve got Alteryx Ventures. We are always looking at early-stage innovators and companies give us -- really give us a front row seat to the people and the tech that we think are going to matter in the future. In terms of future M&A, we're just going to kind of take our time and continue to look for opportunities that we think make sense for our customers, makes sense for the team and makes sense to our shareholders. Just given the macro situation these days, we want to be prudent as Kevin would say.
Joey Marincek: Super helpful. Thank you so much.
Operator: Thank you. Ladies and gentlemen, we have reached the end of the question-and-answer session. I'd like to turn the call back to Mark Anderson, CEO, for closing remarks. Over to you, sir.
Mark Anderson: Thank you so much, operator. And I would like to say thank you again to our customers, our partners, shareholders and our team here at Alteryx. It was a great start to FY '22. We are super excited about the opportunity that's ahead of us. We've got a great team in place. The vision is crystal clear, and we are executing better than ever. I'd really like to encourage you to come and join us at our Inspire event in Denver. It's -- we are going to have a special investor conference. I would love to have you walk around the halls and talk to our people, talk to our customers and just see how happy they are with our vision and our execution. It's going to be a great event, and I really hope to see you there. Thanks again.
Operator: Thank you very much. Ladies and gentlemen, this concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.